Operator: Good day, ladies and gentlemen and welcome to the Fourth Quarter 2014 NGL Energy Partners LP Earnings Conference Call. My name is Regina and I will be your conference operator for today. At this time, all participants are in listen-only mode. Later, we will conduct a question-and-answer session. (Operator Instructions) As a reminder today’s event is being recorded for replay purposes. I would now like to turn the conference over to your host for today, Mr. Mike Krimbill, Chief Executive Officer. Please go ahead.
Mike Krimbill: Thank you. This conference call will include forward-looking statements and information, while NGL Energy Partners LP believes that its expectations are based on reasonable assumptions, there can be no assurance that such expectations will prove to be correct. A number of factors could cause actual results to differ materially from the projections, anticipated results or other expectations included in the forward-looking statements. These factors include the prices and market demand for natural gas liquids, crude oil, level of production of crude oil and natural gas, the effect of weather conditions on demand for oil, natural gas, natural gas liquids and the ability to successfully identify and consummate strategic acquisitions at purchase prices that are accretive to financial results and to successfully integrate acquired assets and businesses. Other factors that could impact any forward-looking statements are described in risk factors in the partnership’s annual report on Form 10-K, quarterly reports on Form 10-Q and other public filings and press releases. NGL undertakes no obligation to publicly update or revise any forward-looking statements as a result of new information, future events or otherwise. Please also see the partnership’s website at www.nglenergypartners.com under Investor Relations for reconciliation of the differences between any non-GAAP measures discussed on this conference call and the most directly comparable GAAP financial measures. So thank you very much for dialing in. And we will turn it over to our CFO Atanas to begin the call. Atanas.
Atanas Atanasov: Thank you Mike and welcome to the call. We’re very pleased with our financial results for fiscal 2014. Adjusted EBITDA for fiscal ’14 is $270.5 million which excludes a total of $15 million of acquisition related expenses 6.9 of which was legal and advisory and $8.2 million severance and comp expenses related to the Gavilon transaction. This compares to EBITDA of $183.5 million for fiscal 2013 which represents an increase of 47%. Our guidance for the fiscal year 2014 was in the range of $255 million to $260 million, so we are approximately $10.5 million higher than the top range of our guidance. NGL reported net income of $48.8 million for fiscal year ended 3/31/14 which compares to net income of $48.2 million from previous fiscal year. During the fourth quarter of fiscal ’14 we expected to generate EBITDA in the range of $100 million to $105 million, we generated EBITDA of $116.1 million which excludes $8.7 million of acquisition related expenses incurred in the fourth quarter, so that represents an increase of approximately $11 million over the top range of our 4Q guidance. At the beginning of the fiscal year we indicated our expectations to incur approximately $22 million of maintenance CapEx, later in the year we increased that guidance to $28 million in view of the acquisitions that we completed during the summer months of last year. And we ended the fiscal year with maintenance CapEx of $32 million. For fiscal 2015, we expect to generate EBITDA in the range of $425 million to $430 million. We expect maintenance CapEx and interest expense to be $30 million and $80 million respectively, which would generate Bcf in the range of $315 million to $320 million. We expect our internal growth CapEx to be approximately $500 million. For Q1 fiscal ’15, for the first quarter of fiscal ’15 which ends on June 30, 2014 we expect to generate EBITDA of approximately $60 million. We reiterate our guidance to maintain distribution growth of 15% for the calendar year 2014 while targeting distribution coverage of approximately 1.5 times. So with that our quarterly guidance for fiscal 2015 is as follows; as I indicated the first quarter is $60 million, the second quarter is $75 million, the third quarter is $133 million and the fourth quarter is $157 million, so that’s the $425 million guidance $425 million to $430 million. And with that I will turn it back to Mike.
Mike Krimbill: Thanks, Atanas. Why don’t we open it up for questions right away, so operator if you could open it up?
Operator: Certainly. (Operator Instructions). Your first question today comes from the line of T.J. Schultz with RBC Capital Markets.
T.J. Schultz - RBC Capital Markets: Hey guys, good morning. Can we just talk about, little bit about the guidance for 2015 fiscal year, I think consistent with what you have said previously but it seems like CapEx may be just going up, so maybe you are finding some additional opportunities there, if there is just any kind of contribution from that that we may see in fiscal ‘15, where there maybe some upside to what you are talking about?
Mike Krimbill: T.J. you are correct. We have not factored that in. We have always said I think using five multiple on internal growth just to be conservative to estimate the impact of EBITDA. And we don’t, we haven’t given the guidance on when these projects get completed and the EBITDA would begin but there definitely would be just as EBITDA from those projects.
T.J. Schultz - RBC Capital Markets: Okay. And do you think you would look at carry more coverage here, I mean is there upside potentially on kind of your distribution growth guidance if you get some benefit there or may be more coverage?
Mike Krimbill: We like the coverage around 1.5 and so there is upside on the, I think we get 10% for the next fiscal year 15% we think is pretty healthy for this year. So, there would be upside in the future years, initially if the coverage may increase because it comes around obviously when the projects are placed in service and distributions will follow.
T.J. Schultz - RBC Capital Markets: Okay, great. Just moving onto the Gavilon assets, just may be if you are seeing additional opportunities there and then if you could talk a little bit about Cushing storage and what were loss you may have three -- of the contractual profile Cushing?
Mike Krimbill: The part of the increase in our internal growth to 500 million is directly related to Gavilon. It’s probably I would say it’s exceeded our expectations. It’s fantastic set of assets and people are fantastic. We have taken a hit here on some severance cost because we have pretty much completed the integration of the people. And David Kehoe is on the line, David if you could comment on where we are in Cushing but if we did renegotiate a little bit and reduce some of our storage and may it stand up.
David Kehoe: So, Cushing storage, the tender around the or just extended out we have a contractual profile there. We reduced the amount of leased storage that we control and did extend that term for a shorter additional two years.
Mike Krimbill: So, Dave where are we at 7 some million now?
David Kehoe: 7.7 And going down slightly.
Mike Krimbill: Okay. Then T.J. what was your, I mean in terms of I guess you are thinking what backwardation versus Contango and I mean what our thoughts are and what else would you like to know?
T.J. Schultz - RBC Capital Markets: No, that’s fine, Mike, I think that’s helpful. Just on kind of where you are there, I think that’s good enough. The last thing I had there is an article out last week I think that mentioned, you are looking at some of the TLP assets, just any comments on that acquisition or generally about kind of acquisition market out there?
Mike Krimbill: This year we are really focused on the internal growth, I think frankly if you can do 500 at a 5 multiple, it’s like doing a 1 billion at an 8 or 9 multiple of acquisitions. So, we are not seeing a lot of assets out there that we think are appropriately priced. There’s number of that are overpriced in our opinion. And we were just as surprised as everybody else on I think it was the Wall Street Journal I don’t know if it was an online article or what it was, but we were just as surprised that we’re announcing. We just can’t help anybody with respect to that article.
Operator: The next question is from the line of Michael Bloom with Wells Fargo, (Operator Instructions), and Michael your line is open.
Michael Bloom - Wells Fargo: Great, good morning guys, can you, looks like you created two, I don’t know if they’re segments or how you define it, but you have renewables and refined products. Can you just talk about what exactly is in those new buckets?
Mike Krimbill: Sure, David you want to start that?
David Kehoe: Sure, with the Gavilon acquisition the groups have ethanol, biodiesel and refined products. The ethanol, biodiesel are logistics, railcars got term link (ph) for those two products. The refined products is a movement from the refiner through the pipeline and brack (ph) system to the wholesale distributors, we like those businesses and we see growth potential in them, great group of people running them and to intend to continue, they’re very much mid stream for our logistics profile.
Michael Bloom - Wells Fargo: Okay, great and then Mike I just want to make sure I heard you right, it was fiscal 2015 you’re saying distribution of guidance is 10%, did I get that right.
Mike Krimbill: We’re a little off, it’s calendar year ’14, we expect 15% and then so calendar ’15 and on we said 10% but we were saying based on integral projects there is upside to that.
Michael Bloom - Wells Fargo: Okay got it. Okay and then can you just talk a little bit about what’s going on in the water business from your perspective, you know we saw one transaction in the market, you know that was away from you guys, are you still looking at acquisitions and then generally if you could just give us an update on how that business is faring in the different regions.
Mike Krimbill: Sure, and then I’m going to turn it over to Jim Burke, who’s running water in a second, but I’ll just say we had some significant acquisitions in fiscal ’14 and out of that we have a development agreement with some previous owners of what we called the OWL acquisition. So we are drilling with them quite a few wells and that space is, is just extremely active. Jim, can you make some comments on what you see.
Jim Burke: Sure Mike, we are still very involved in acquisitions, we’re in most of the basins we want to be, we’re still looking for some new basins, we think we’re in the most prolific basins out there. We’re definitely still looking at acquisitions and working on those but most of our growth has come in internal both with our own development and the Al-development people we signed, so most of that will be low multiple internal growth which we’re very fond of.
Unidentified company representative: Mike, I’d add to that, when you’re buying someone else’s well and it’s been around for a while you’re never really sure what you’re getting so we prefer to drill our own now and we have pretty good footprint obviously in four states and Jim you might if you could make a comment on what activity you’re seeing in T.J.
Jim Burke: Well T.J. is exploring, we were expanding our facilities as we speak with several facilities and we’re just we’re doing our best to keep up our presence, the volumes are there, we’ve added contracts, long term contracts with several producers and it’s going real well Mike.
Michael Bloom - Wells Fargo: Okay great, and then last question from me the 500 million of organic capital, can you just kind of break that down into what, where is the capital going.
Mike Krimbill: Atanas, do you have some numbers on that?
Atanas Atanasov: Yes, about 50% of that is, close to 50% of that is crude logistics, about 40% or so would be water and the rest of it be some targeted projects in NGL logistic. So crude intend to -- account for that -- for the bulk of that number. And obviously with crude you’ll get -- with water although in totality, you may be slightly lower than what you see crude is -- does the single project standalone that cost more money.
Michael Bloom - Wells Fargo: Okay. And specifically that 50% that’s crude are you -- I mean you are like leasing new pipes, what exactly are you doing in terms of projects whether that -- there was that capital going to what type of crude projects?
Atanas Atanasov: I mean, I could let David and Mike give them chance to response first.
Mike Krimbill: Yes, David why don’t you go ahead.
David Kehoe: Those dollars are being spent on capital projects that have fix take or pay contract behind them, in their logistics and there such as terminal storage, not leases.
Michael Bloom - Wells Fargo: Okay. So you’re building new stores then?
David Kehoe: We are putting in storage tank in terminals in various locations, yes. They're logistical based assets.
Operator: And next question is from line of Matt Niblack with HITE.
Matt Niblack - HITE: On the water business, could you comment on how pricing is holding up?
Mike Krimbill: Jim?
Jim Winter: Pricing is holding up really well, holding up just fine. In fact in some basis we’ve been able to increase such as time, as Denver because of the demand, the activity, the drilling activity. So little bit pressure in Texas, Denver, down in Eagle Ford just a little bit. Permian pretty much thing its own and 10% increase. And so, it’s depends on region but we haven’t seen much pressure where we were, that’s the only price that we’re seeing some and not much.
Matt Niblack - HITE: Great. And then, in any of the basin’s are you seeing a situation where it’s getting harder to get the land that you’re promoting to drill new disposal wells.
Jim Winter: Yes. All over.
Matt Niblack - HITE: What’s behind that?
Jim Winter: I think the knowledge of land owners and it’s extremely active basin has become a little more -- they become little more knowledgeable if you will. And henceforth the costs have gone up.
Matt Niblack - HITE: Okay. Is there any resistance in the part of land owners to putting disposal wells on their property because they, they might be holding out to get royalties off of the hydrocarbons themselves and they don't see the value of that disposal wells, being sufficient.
Jim Winter: No, we don’t see that.
Matt Niblack - HITE: You don’t see, okay. Great. Thank you.
Operator: The next question is from the line of Sameer Panjwani with Raymond James.
Sameer Panjwani - Raymond James : Hey, good morning guys. I had a question on the crude oil logistic segment. Now I know that you guys have provides enough segment data with this report as you usually do at the quarterly report. But it seems early from a revenue perspective that segment kind of being ramping throughout the year and this quarter has a depth. Is that primarily just because of weather? And how should we think about going forward to just be a continued ramp or, I mean, do you think there’s going to be continued weakness?
Atanas Atanasov: Mike, I’ll answer this if you want.
Mike Krimbill: Sure.
Atanas Atanasov: We did have a significant weather dip particularly across the rail segment. And you shouldn’t expect a continued ramp on the volumes.
Sameer Panjwani - Raymond James : Okay. Thank you.
Operator: Your next question comes from the line of Adam Lee (ph) with RBS Capital Markets.
Unidentified Analyst: That would be RBC, we’re still in North America, but hi, everybody.
Mike Krimbill: Hi, Adam.
Unidentified Analyst: Just couple of question, if I missed it I apologize. Can you talk a little bit about potential locations for new logistic assets which you’re investing there?
Mike Krimbill: Well, you didn’t miss anything we didn’t give any locations, I don’t know that we -- we will hit specific, but I know David, you want to have general -- give a general thought.
David Kehoe: We are looking at Western U.S. and Gulf Coast.
Unidentified Analyst: Yes. I go back to your last presentation is that; it’s going to be fairly indicative.
Mike Krimbill: Yes.
Unidentified Analyst: Okay. And on the same thread, do you have a sense of what kind of contribution percentage wise you might be seeing from terminal and that sort of thing in the next year or so?
Mike Krimbill : Are you referring just, with the respect to the growth projects or the total business?
Unidentified Analyst: No, I guess I am looking at total logistic assets kind of contracted EBITDA?
Mike Krimbill: I don’t have this, I mean really…
Atanas Atanasov: So if you’re looking at, if I guess is the question is, what is our fee based repeatable fee based tab to EBITDA. We’re targeting to the, in the range of 60% over the next 12 to 18 months. Currently, we’re in the range of 40% to 45%. So all of these internal growth projects that David and Mike talked about we’re targeting to boost that, fee based repeatable EBITDA and which will lead us stand the path of investment grade that’s our ultimate goal.
Unidentified Analyst: Right. Thank you that’s response I was looking for. And are you seeing any potential impact of real car cost increases affecting it?
Mike Krimbill: David.
David Kehoe: No, we’ve made strategic decisions around the ownership of cars and the way that we have staggered leases so we find ourselves, we think in a good position from a railcar standpoint.
Unidentified Analyst: Okay. That’s it for me. Thanks.
Operator: Ladies and gentlemen that concludes the question and answer portion of today’s broadcast. I’d like to turn the call back over to Mike Krimbill for any closing remarks you’ve like to make.
Mike Krimbill: Well, thank you very much. And we’ll try harder. Thanks again. Bye-bye.
Operator: